Operator: Thank you, and welcome to Betterware's Third Quarter Fiscal 2023 Earnings Conference Call. With me on the call today are Betterware's Executive Chairman, Luis Campos; Betterware's Chief Executive Officer, Andres Campos; and Corporate Chief Financial Officer, Alejandro Ulloa. Before we get started, I would like to remind you that the call will include forward-looking statements, which are subject to various risks and uncertainties that could cause actual results to differ materially from expectations. Any such statement should be considered in conjunction with the cautionary statements and the safe harbor statement in the earnings release and risk factors discussed in reports filed with the SEC. Betterware assumes no obligation to update any of these forward-looking statements or information. A reconciliation and other information regarding non-GAAP financial measures discussed on the call can be found in the earnings release issued yesterday as well as in the Investors section of the company's website. Now, I would like to turn the call over to the Company's Executive Chairman, Luis Campos. Please proceed.
Luis Campos: Thank you, operator and good morning, everyone. I am very proud to present our third quarter results. As a group, we have experienced consistent revenue stability which has allowed us to regain a strong cash flow generation. Thanks to the strengthened profitability and working capital easy that this stability brings. During the year, we have generated MXN1,635 million of operating cash flow, representing 86% of the EBITDA for the period. We have strategically used this cash to pay down debit, strengthen our stockholder's equity, fund our international expansion preparations and with the remaining cash pay dividends while continuing to hold cash balances in support of our ongoing growth. As it relates to dividends, it is important to note that we are proposing a payment of MXN200 million for the quarter, accumulating a total of MXN650 million paid out this year. All that said, it is important to talk about what has always been our main focus, which is consistent and profitable revenue growth. Betterware's revenue stability and slight growth must not be taken for granted. The strategies and execution this year were pivotal to stabilize revenue at a level of 89% higher than 2019. In fact, despite the normal seasonal impacts, third quarter 2023 revenue grew 3% as compared to 4Q 2022, which was our inflection point from the post-pandemic downturn. We have confidence in our ability to continue to drive growth going forward. The home products market has stabilized and we have the right internal strategies in place to continue to gain more share of the market. Jafra Mexico continues to excel in revenue and profitability growth. This year, we laid out the first steps to replicate our strategies within our three pillars; innovation, business intelligence and technology. Product innovation represented 14% of net revenue for the third quarter 2023 compared to 7% on the same quarter last year. We have begun to make changes to catalog design based on our business intelligence knowledge, and we have launched a first version of an app for consultants and leaders to execute their business easier. This, together with execution ability of the existing Jafra management team continue to drive strong growth. Lastly, our international operations are under transformation. Jafra U.S. is undergoing a profound transformation, and we are paving the road for a successful launch of Betterware U.S., early 2024 and Betterware Peru in early 2025. I am extremely proud of the Betterware family's ability to drive these results. And even though we are slightly lowering our revenue and EBITDA guidance for the year, medium and long-term growth possibilities have been reassured and we are committed to deliver on that as we have done for more than 20 years. Now, I would like to pass the word to Andres, so he can further develop on Betterware's results.
Andres Campos: Thank you, Luis, and good morning to everyone. As we stated in our 6-K report published last night, and as Luis reinforced, we are proud to confirm our revenue stability and especially regain of growth compared to our pivotal quarter, which was the fourth quarter of 2022. Discarding pandemic distortions, third quarter has historically represented a seasonal bump because salesforce is distracted from having the kids at home and back-to-school activities. And this year was no exception both in Betterware and Jafra. That said, we expect fourth quarter 2023 to be our first quarter, with year-on-year growth expecting around a 6% growth year-on-year, and we're also expecting a 3% growth versus the third quarter of this year. From that point on, I want to reiterate the underlying assumption for future growth in Betterware Mexico. After pandemic distortions, the home solutions market has stabilized, and aims to regain consistent growth going forward. Now, we only own around 4% of that market as of 2022, and we only reach around 25% of potential households. With all our internal strategies, we believe we can continue to capture growth going forward. All of this without compromising the strong profitability and cash flow that have always distinguished our operations. Our three pillars of growth and transformation remain valid, namely product innovation, business intelligence, and technology. We will be glad to share our 2024 disruptive plans in the following call. At the same time, we are ready to begin pilot operations of Betterware U.S. in the first quarter of 2024, and have hired the new Peru Managing Director to start executing preparations to launch in Peru in early 2025. These avenues will be an additional and important source of growth in the coming years. Now I'd like to pass the call back to Luis to further develop on Jafra Mexico's future growth prospects.
Luis Campos: Thank you, Andres. As I mentioned in the beginning of the call, we are very happy with the initial results Jafra Mexico has shown after the initial replication of strategies within our three growth pillars; product Innovation, business intelligence and technology. This makes us confident that as we continue to replicate the model, we will be able to gain market share going forward. We must remember that the beauty and personal care market is worth MXN228,000 million in Mexico, and this year it is growing at a 10.3% pace, showing the vibrant dynamics that this market has for the present and future generations. We estimate to have a 3.5% market share today, and in Mexico, direct selling model accounts for 48% of the total market. With all this in mind, we can only imagine the growth opportunities that lay ahead for the Jafra brand. With our three pillar-based evolution, together with a talented management team, we are confident we can sustain strong growth going forward. As for Jafra U.S., although it only accounts for 7% of total group revenue, I want to point out two things. Number one, our turnaround strategy has decreased losses by 80% from MXN35.7 million on third quarter of 2022 to a loss of MXN6.9 million on the third quarter of 2023. We are very close to our goal achieving breakeven operations within 2023. We have worked hard to make the team and processes more efficient to make this happen and are very proud of the team's results. Number two, although we have seen revenue decline, we believe this is temporary and are working on a 360-degree turnaround strategy of the key commercial fronts. We must remember that the U.S. beauty and cosmetics market is huge, growing and vibrant, and we are ready to seize the opportunity that it represents as we have done so in the Mexican market. Now I would like to pass the call to Alejandro, so he can further develop on a specific financial metrics that are relevant for the group.
Alejandro Ulloa: Thank you, Luis, and good morning everyone. I would like to review our third quarter and year-to-date 2023 results. Please keep in mind that the currency I will refer to when reviewing our result and guidance is the Mexican peso, which is our functional and reporting currency. Additional details can be reviewed in our earnings release published yesterday. Consolidated net revenue for the third quarter 2023 was almost in line with that registered on the third quarter 2022, explained mainly by Betterware's lower net revenues due to lower average associates and distributors base. Year-to-date, consolidated net revenue increased 16.1% relative to the nine months of 2022, reflecting the inclusion of Jafra's results for the entire previous year compared to almost two quarters of 2022. Consolidated gross margin for third quarter 2023 expanded 122 basis points to 70.2%, compared to 69% in the third quarter of 2022, explained by higher gross margin in Betterware due to improvements in supply chain conditions, lower freight costs and other input costs normalizations. Year-to-date consolidated gross margin expanded 382 basis points to 72.1% compared to 68.3% in the first nine months of 2022, explained by lower input costs and due to the inclusion of Jafra results, which has a higher gross margin profile. Consolidated EBITDA for the quarter was MXN529.4 million, 1% lower than in third quarter of 2022, positively impacted by increased EBITDA in Betterware and Jafra U.S., offset by the reversal of pre-acquisition provisions that positively impacted Jafra Mexico's EBITDA during third quarter of 2022, but not in third quarter 2023. Consolidated EBITDA margin stood at 16.9%, practically in line with third quarter of 2022. Year-to-date, consolidated EBITDA for the first nine months of 2023 was MXN1901.4 million, 10.8% higher than in the first nine months of 2022, boosted by Jafra's inclusion to our results for the entire period. Year-to-date, consolidated EBITDA margin contracted 96 basis points to 19.8%, compared to 20.7% in the first nine months of 2022, mainly explained by Jafra's lower EBITDA margin compared to Betterware. Consolidated net income for the first nine months of 2023 was MXN643.4 million, 3.3% higher than the MXN622.6 million in the first nine months of 2022, mostly explained by Jafra's inclusion to our results for the entire period. Earnings per share for the period were MXN17.24. And as for free cash flow, defined as cash flow from operations minus CapEx, we generated in the first nine months of the year, MXN1599.3 million of free cash flow attributed mainly to positive performance in Betterware and Jafra Mexico, coupled with lower CapEx for the consolidated group. As for its balance sheet, the company's financial position remains strong and improving. In the third quarter of 2023, net debt for the company decreased 16.4% compared to the same period last year, closing at MXN5,200.4 million. Consequently, our net debt to EBITDA ratio improved to 2.1 times from 3 times in the third quarter of 2022. As previously indicated, our primary strategy is to allocate a significant portion of our free cash flow to lessen our debt obligation, reinforcing our balance sheet in the process. We are targeting a net debt to EBITDA ratio of under 2 times by the end of the year. In terms of dividend payments, our Board of Directors has proposed a dividend payment of MXN200 million for the quarter, which is subject to the approval of the ordinary general shareholders meeting to be held on November 9th of this year. Going forward, we intend to continue paying growing quarterly dividends, assuming the group's results continue to improve as expected. Finally, we are slightly modifying our prospects for the rest of the year, adjusting our previous full year guidance to the consolidated net revenue in the range of MXN12,500 million to MXN12,800 million, and to a consolidated EBITDA in the range of MXN2,400 million to MXN2,500 million. This adjustment largely stems Betterware sales performance, which remains steady without the anticipated growth for the extended period. However, with improvements in our gross and EBITDA margins, our consolidated EBITDA guidance closely aligns with the lower end of our initial estimate. I will now turn the call over to the operator, and we will take any questions you may have. Thank you.
Operator: [Operator Instructions] Our first question comes from Eric Beder with SCC Research. Please proceed.
Eric Beder: Good morning. Congratulations on the stabilization. Could you talk a little bit about - a little bit about Betterware. You mentioned in your release that you went to a little bit more aggressive in terms of discounting 160 items for the catalog. What has been the response to that and how should we be thinking about potential to expand the distribution network going forward? I know you've expanded the amount of SKUs in the catalog. How come -- When is that going to translate into more distributors and more associates for Betterware?
Andres Campos: Hi, Eric. This is Andres. So in the first part, the decrease of prices that we did, as you saw in September are yielding good results. You know, it didn't impact the third quarter because we did it until September. And it takes time for consumers to start reacting to this. But this is one of the main reasons why we are confident of our 4Q results -- of our upcoming 4Q results. So we are seeing a good reaction on that. And obviously, to your second question about growing the sales force. The first thing that has to happen is for consumption to be up, for demand to be up, for people to both come to Betterware and remain with Betterware selling. So, we are positive and confident about these changes that we made in prices in September and expect for that to start impacting in the 4Q both in revenue and in salesforce growth.
Eric Beder: Okay. And on the flip side, for Jafra, you saw increases in the amount of distributors and that's been pretty constant. You know, what -- I guess the question is what is driving more people to be distributors for Jafra? And I guess the second piece is that you talked about adding categories. What do you look at as kind of the new -- the best categories for improving and expanding a level for Jafra?
Luis Campos: Hi, Eric. This is Luis. Jafra is having an extraordinary year and this has been basically pushed by product innovation, where product innovation is representing almost 15% -- sorry, 14% of our total sales. We have not been very aggressive, especially in the color and skincare product categories. And we have been launching during this year very exciting products in both product categories. I think this has pushed really well our sales growth this year. The other thing is catalog. The product catalog is today much more exciting than what it used to be a year and a half ago. We have been doing progressive improvement in our product catalog, more attractive, more enticing for the consumers. And the third thing I think is helping a lot also is the new app that we have. This is still a basic app, but we are going to keep improving it for the benefit of our salesforce. Then, as used to happen in this business, when you have a more and more attractive product portfolio and a more and more attractive catalog -- product catalog, people tend to come and join us because they make money. Our consultants and leaders are making more money than they used to do. Okay. In fact, among the records we are breaking this year is the average income of our leaders and consultants. They now -- I mean, they spread the voice and many people come and join us. And fortunately, we had a very nice growth in the third quarter.
Eric Beder: Great. Thank you. Just one more question. You had a great introduction in inventories year-over-year versus sales. What should we be thinking about inventory levels going forward? And are there opportunities to continue to improve the productivity in the inventory? Thank you.
Luis Campos: So, we continue having improvements in the inventory both in Jafra USA, Jafra, Mexico and Betterware. As you can see, we have very good improvement. We expect to improve it in the fourth quarter and beyond.
Eric Beder: Great. Thank you.
Operator: Thank you. Our next question comes from Cristina Fernandez with Telsey Group. Please proceed.
Cristina Fernandez: Hi, everyone. Good morning. I wanted to ask about the change in the guidance. If you can share more color into what you're seeing today that is different versus a few months ago to lower the guidance. You mentioned it's a Betterware, but is it more the consumer environment that's been softer or some of the initiatives are not as far ahead or gaining as much traction as you expected? Any more details there would be better understanding the change in view. Thanks.
Luis Campos: Hi, Cristina. Good morning. This is Luis. Cristina, I would say basically two reasons. The first one is that as you certainly know, there's a seasonality challenge every year in the third quarter, basically because of the school vacations and the back-to-school time. The first one, impact normally our business because ladies are more busy with the children at home. And the second one, because the fact that they have to spend in the back to school diminish a little bit the spending in our kind of products, especially discretionary products like in Betterware. Then in both cases, Jafra and Betterware, we got a higher than expected impact, negative impact during the school vacations and the back-to-school. And the second reason is, because it has -- it's taking or it took -- I would say it took longer in Betterware to realign the strategy, the commercial strategy in order to -- in terms of sales brochure and the product portfolio. But we have already completed that in -- by the end of the third quarter in Betterware. And this is the reason why you expect better revenues from the fourth quarter and beyond. And probably, Andres can explain that better. These are the main two reasons. Okay. But we are going to recover from that in the quarters to come. But this time, it impacted more than expected. And this is normal in the third quarter. Normally the third quarter is lower than the second quarter because of these two reasons. Sorry, because of the first reason. Then that's mainly it.
Cristina Fernandez: That's helpful. And then, so following up on that seasonality for Betterware itself, the home business, the EBITDA margin was 23% this quarter. First half you had gotten back to 30%. So, is it just the seasonality this quarter and we should expect a return to that you know, 30% going forward or were there other factors this quarter that led to that sequential decline?
Luis Campos: Look, Cristina, if you look at our normal margins, in the case of gross margin, we are here today slightly above our normal margin. In the case of EBITDA, I'm talking about Betterware specifically, okay. This is because of this seasonality in the EBITDA margin. However, remember that our normal, historically our normal margins, okay are not at the level of 30%, okay. I think for the year, we are going to do as we say in our report, we are going to be slightly above our normal level of EBITDA margins. Okay. As you can see, as you will see by the year end, okay, slightly, slightly above our normal margins. In the case of the EBITDA margin, there is no variance basically as compared to the guidance.
Cristina Fernandez: Got it. But on the Betterware business, what do you consider your normal EBITDA margin? Just because if I look back at 2019, the business was doing you know, 27%, 28% EBITDA margin. So, is that a normal margin or is the normal margin more like 25%? Maybe just some more color there to be able to...
Luis Campos: Yes. Anything between 25% and 26.5%, I would say is our normal EBITDA margin.
Cristina Fernandez: Okay, that's helpful. And then the last question on Jafra, what is this -- can you provide more details on the brand refresh and on the marketing side I guess how much is it already underway? What are the plans over the next couple of quarters to revitalize the brand, attract a younger consumer, et cetera?
Luis Campos: Yes. What I can tell you is that, the welcome to this rebranding in Jafra has an overwhelmed welcome by our salesforce. I mean, they are really excited. This is a more contemporary, this is a more young and attractive brand name. And they even say, this new branding represents unlimited possibilities for us, okay. Then it has been very, very welcome by our salesforce. Now, we are working and will begin working in the fourth quarter on the brand -- new brand architecture, okay. And it will take easily three, four quarters to complete this architecture of our new brand, but it's going to be really, really good. Yes, that's what I could tell you.
Cristina Fernandez: Thank you.
Operator: Thank you. Our next question comes from Andres Lomeli with LCA Capital. Please proceed.
Andres Lomeli: Hello, and thank you for taking my call. I wanted to know two questions. What is the reasoning behind removing the associate base and the key salesforce metrics from the quarterly report? And the second question is regarding new projects and investments going forward, such as these new market expansions. How will this translate to the expected CapEx for the upcoming years? If you could provide some color on that, it would be very helpful. Thank you very much.
Luis Campos: Yes, this is Luis. If you notice, we are trying to make our report more concise and objective. We had a recommendation from several investors because it was too long and sometimes they used to miss the key issues in the report. Then we are trying to make a more concise, objective report. And in these chapters, I mean, there was a lot of detail, okay. I think the key issue is to grow the salesforce, okay. There's always a combination between recruiting and churn rate, but there's too much detail. I mean, the key issue is how much we are growing our sales force, okay. And this is basically our objective from now on, okay, to keep you on the loop of the relevant issues in the business -- in each business.
Andres Lomeli: Perfect. And with regards to the second question...
Luis Campos: Read the second question, please.
Andres Lomeli: Yes. It was regarding expected CapEx for the upcoming years with all these new projects and expansions going forward.
Luis Campos: Yes. We are going to have that. We will define that. In the month of November, beginning of December, we are working on that. And our investments committee of the Board of Directors are working on that with our Corporate CFO. Then, we will give you more light in our next report, okay. But generally speaking, we are going to invest in our expansion to the U.S. In the case of Betterware, we will begin investing some money next year in our expansion to Peru. And on the other hand, we will have our normal CapEx, okay. The only additional CapEx is going to be in our new headquarters of Jafra Mexico in Mexico City, okay. But I think we will be basically at normal levels, generally speaking, in our CapEx for next year.
Andres Lomeli: Perfect. Thank you very much.
Operator: Thank you. At this time there are no further questions. I would like to turn the call back to management for closing comments.
Luis Campos: Well. I would like to thank all of you for attending this conference call, and look forward to see you in our next one, when we report our year 2023 and fourth quarter results. Thank you and have a good day.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.